Operator: Hello. Good morning. My name is Jeremy, and I will be your conference operator today. At this time, I would like to welcome everyone to Entergy's Second Quarter 2023 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Bill Abler, Vice President of Investor Relations for Entergy Corporation.
Bill Abler: Good morning, and thank you for joining us. We will begin today with comments from Entergy's Chairman and CEO, Drew Marsh, and then Kimberly Fontan, our CFO, will review results. In an effort to accommodate everyone who has questions, we request that each person ask no more than two questions. In today's call, management will make certain forward-looking statements, actual results could differ materially from those forward-looking statements due to a number of factors, which are set forth in our earnings release, our slide presentation and our SEC filings. Entergy does not assume any obligation to update these forward-looking statements. Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today's press release and slide presentation both of which can be found on the Investor Relations section of our website. And now I will turn the call over to Drew.
Drew Marsh: Thank you, Bill, and good morning, everyone. Today, we are reporting second quarter adjusted earnings per share of $1.84. Our progress through the first half of the year keeps us firmly on track to achieve 2023 results in line with our guidance. and we remain well positioned to achieve our long-term 6% to 8% growth outlook. Creating sustainable value for our customers, employees, communities and owners is at the center of everything we do. I'll start today with our work to meet our customers' demands. We're investing in resilience and reliability and working to expand our clean energy footprint. This work helps our current customers meet their goals while also attracting new customers to Entergy's service area. To that end, our power delivery team continues to upgrade legacy assets to new, more robust wind and flooding standards through new construction projects, storm restoration and asset renewal. For example, in the second quarter, our new deployments included roughly 600 transmission structures, approximately 8,000 distribution poles, more than 200 miles of new distribution conductor and 7 new substations. In addition, these improvements will support more than 120 megawatts of growth. Safe and effective nuclear operations are also important for our stakeholders. Our nuclear units continue to provide clean, reliable baseload power to our customers in 2 of our plants, River Bend and ANO Unit 2 recently completed successful refueling outages, which included major projects to support long-term operational excellence. Overall, our nuclear plants are running very well. Outside of refueling outages, our fleet achieved a 99% capability factor for the first half of 2023. While our customers demand more reliability and clean energy from us, our unique and sizable long-term industrial sales growth opportunity continues to improve. Growing businesses support our communities, provide employment opportunities and help with affordability. The inherent advantages of our geographic footprint remain solidly intact. We continue to see evidence of these advantages through recent project announcements in our service areas. For example, ExxonMobil announced a transformative CCUS project that will capture, transport and store up to 800,000 metric tons of CO2 per year from the Nucor iron plant in Convent, Louisiana. The project is expected to start up in 2026. Paired with the recently announced acquisition of Denbury, ExxonMobil's actions clearly highlight the opportunities around CCUS in our region. Also, Shell Catalysts & Technologies announced its final investment decision on the $120 million expansion project in Port Allen, Louisiana. Facility is already the largest refining catalyst plant in the world, and the expansion will create even more manufacturing capacity. These are just a couple of the projects that have the potential to increase and extend our long-term growth rate. We are currently updating our annual industrial sales forecast, and we are accounting for recent trends. As many of you have noted, there has been some weakness in national industrial output indicators like the ISM Manufacturing Index. Despite this, we are seeing strength in our Gulf region. In the quarter, our total industrial sales declined, which had been expected due to higher cogeneration sales last year. Adjusting for Cogent, our industrial sales were up about 1%. For some highlights. Sales to small industrial customers, which are typically more exposed to broader U.S. economic factors, grew nearly 90 gigawatt hours over last year. Sales to large, new and expanding industrial customers grew nearly 100 gigawatt hours over last year. As we look forward, a few large industrial projects have adjusted their in-service dates from 2024 to 2025, which could lower our 2024 industrial growth expectation, but not to a degree that affects our outlook. Overall, our pipeline for projects continues to grow, supported by favorable commodity spreads and the IRA legislation. Early indications show demand in 2025 and beyond shaping up even stronger than our last forecast. As we typically do, we'll provide an update to our industrial growth expectations at EEI. To support this growth and to help our customers meet their sustainability needs, we are expanding our clean energy portfolio. Through 2026, we plan to add nearly 6,000 megawatts of renewable capacity. 2,400 of those megawatts are currently in construction, permitting, regulatory review or negotiations. Approximately 30% of the 2,400 megawatts will be owned by Entergy. Last quarter, I mentioned that we are continuing to work on our self-build capabilities. Our recent self-build submissions have been extremely competitive in the RFP process. However, we have been limited by a smaller development pipeline. I'm pleased to report that we are making progress on that front, and going forward, I would expect Entergy to achieve at least 50% ownership through our competitive RFPs. Moving to regulatory items. We continue to make meaningful progress on important regulatory matters which support the credit required to meet customers' growing needs and drive improved customer outcomes. Beginning with Mississippi, the Public Service Commission approved Entergy Mississippi's formula rate plan settlement, providing full recovery of substantially all costs. Meanwhile, Entergy Louisiana, Entergy New Orleans and Entergy Arkansas each filed their annual formula rate plans. New rates for Louisiana and New Orleans are expected to be effective in September and Arkansas are expected to be effective at the 1st of next year. As we've discussed, Entergy Louisiana plans to file a base rate case this month, including a request for a new 3-year formula rate plan. We like the clarity and certainty that an FRP provides, which helps us make investments to benefit our customers. However, in recent years, Entergy Louisiana's earned returns have materially lagged its allowed returns. We are making significant investments to support customer growth and demand for greater resilience in cleaner energy in Louisiana. This investment is critical for the state as well as our local communities. It is important to have an opportunity for fair and timely recovery, which allows us to maintain Entergy Louisiana's credit and cost-effectively source capital to meet customers' expectations. Turning to Texas. Entergy Texas has an unopposed settlement before the commission, and we expect a decision at tomorrow's open meeting. Interim rates were implemented in June and once the commission makes its decision, any change in revenue and depreciation expense will be retroactive to December of last year. In addition, the Texas legislative session wrapped up at the end of May and the governor signed a new bill into law that are important to Texas customers and communities as well as to Entergy. I'll highlight a few. The Texas Resiliency Act allows utilities to submit a storm resiliency plan to improve customer outcomes. We expect the commission to complete their initial rulemaking of 180 days which sets the deadline to establish a regulatory framework in mid-December. Entergy Texas will then file its resilience plan shortly after the rulemaking is complete, and the commission will have 180 days to review and act on the filing. Based on this, Entergy Texas currently expects to have clarity on its resilience plan in the middle of next year. The distribution cost recovery factor legislation allows for 2 annual filings, which provide more timely recovery of significant distribution investments that we plan to make in Texas to support customer growth and reliability. And the expedited transmission CCM will reduce the time for commission approval by half to approximately 6 months. This will enable Entergy Texas to complete projects to support customer growth and resilience sooner and with lower risk. Turning to federal matters. In May, we received an initial decision on the unit power sales agreement complaint against SIRI. The ALJ ruled against the complainants on several issues, but recommended approximately $250 million refunds, which is mostly interest primarily associated with accumulated deferred tax issues going as far back as 1996. We disagree with the ALJ's conclusions on ADIT, and we continue to believe that SIRI's positions on the law and the facts are correct and that its actions were prudent and taken for the benefit of customers. SIRI filed its briefs on exception in July, and the next step is a ruling from FERC. There is not a statutory deadline for FERC to issue an order. More broadly on SIRI, I would note that we are still awaiting FERC's response to our compliance filing related to the December 23rd quarter on the sale leaseback and uncertain tax position case. While there is not a procedural deadline, we expect to see this clarification soon, and we expect FERC to affirm that no additional refunds are due. FERC's response will provide clarity and will be an important step towards resolving the broader set of SIRI litigation. Our communities are one of our key stakeholders and actively supporting them is an important part of our strategy. The Civic 50, an initiative of Points of Light named Entergy a top 50 most community-minded company and this year's leader for the utility sector. Another example of our community commitment is our Beat the Heat campaign. In May, we launched a series of measures to help low-income and senior customers save on their utility bills during hot summer months. $4 million in contributions will support thousands of vulnerable customers through bill payment assistance, weatherization events, and distribution and energy efficiency kits. I'm also proud that Forbes Magazine has named Entergy as one of America's best employers for diversity. They recognized our commitment to fostering a diverse and inclusive workplace where employees feel valued and respected. Such confirmation is critical as we compete for talent from all corners of our community to best serve the diverse interest of our 3 million customers. Together, our employees are doing a great job of living our vision statement of We Power Life by meeting today's challenges and ensuring that we will create value for our stakeholders well into the future. As you can see, we continue to make progress on our strategy to deliver for all our key stakeholders. We are laser-focused on meeting our customers' demands through operational excellence, resilience and clean energy investments. Meanwhile, we continue to maintain our financial discipline and work closely with our stakeholders to ensure we have the financial strength to drive economic development in our communities. Successfully executing across these dimensions will keep us on track to deliver steady, predictable earnings and dividend growth and move us toward our goal to be the premier utility. I'll now turn the call over to Kimberly, who will review our financial results for the quarter.
Kimberly Fontan: Thank you, Drew. Good morning, everyone. As Drew mentioned, our results this quarter keep us firmly on track, and we are affirming our guidance and our longer-term outlook and remain focused on delivering steady, predictable results. Slide 3 shows a high-level view of the quarter. Our adjusted earnings per share was $1.84, $0.06 higher than last year. We continue to see benefits from our customer-centric investments, including regulatory actions, along with higher depreciation, taxes other than income taxes and interest expense. We also saw a significant reduction in other O&M, a portion of which was for items that do not have a bottom line impact. Slide 4 details the variances by line item. Regulatory actions support our investment program to benefit customers. There were a few updates in the quarter. Entergy Mississippi put its latest FRP rates into effect in April. In June, Entergy Texas implemented interim rates from its rate case settlement. The settlement is credit positive and largely neutral to earnings as the rate case included new higher depreciation rates. Weather was $0.17 lower than last year. While weather was warmer than normal this year, you may recall that temperatures last year were significantly above average. Excluding the effects of weather, retail sales growth for the quarter was down 0.9%. The residential segment had a slightly positive contribution from customer growth, partially offset by lower usage per customer. Commercial and Industrial sales were lower. For Industrial, lower sales to Cogent customers was the primary driver as Cogent sales returned to more normal levels this year. This decline was partially offset by growth from small industrials and new and expansion large industrial customers. O&M was also a driver. We had lower spending for nuclear and nonnuclear generation, primarily due to reduced scope of work. Other drivers included higher rebates associated with our prescription drug program, lower MISO cost and lower pension expense, which were each about $0.05. MISO costs were lower as a result of MISO changing its ancillary services market structure. Because Entergy is a load-serving entity that owns generation, this change is largely neutral to earnings. Operating cash flow, summarized on Slide 5, was $588 million higher than last year. The increase was primarily due to lower payments for fuel and purchase power as natural gas prices were much higher last year. Moving to credit and liquidity on Slide 6. Our net liquidity remained strong at $4.7 billion, which includes $411 million of storm escrows. We expect to utilize a portion of the storm escrows of Louisiana and Mississippi for the storms earlier this year. We remain on track for our credit outlook, including achieving Moody's 14% FFO to debt metric by year-end. During the quarter, both S&P and Moody's downgraded SIRI. The ratings changes stem from SIRI's pending litigation. Left unchecked, this could ultimately result in higher costs for customers. These actions also highlight the cost of SIRI uncertainty and show that resolution would benefit multiple stakeholders. It is our goal to resolve all SIRI litigation in an expeditious manner. Slide 7 summarizes our progress against our equity needs through 2024. We utilized the ATM program this quarter when market conditions were supportive, selling forward approximately 468,000 shares, around $80 million remains in our equity plan through 2024. As shown on Slide 8, we are affirming our guidance range and our longer-term adjusted EPS outlook. We've updated a few of our key assumptions that I'd like to highlight. We saw warmer-than-normal temperatures in the quarter, which contributed $0.07 to EPS. Our plan included conservative assumptions in revenue, and we've now updated our estimates to account for several small favorable items across our operating companies. We've updated our weather-adjusted sales growth estimates and now expect volume impacts on earnings per share to be neutral for the year. This is largely due to lower-than-expected residential sales in the back half of the year. We continue to see overall health in the residential space with increasing customer counts and declining usage per customer, both of which help affordability. We expect other O&M to be $0.85 lower than 2022 for the full year. This includes approximately $0.15 for the reduction in MISO cost that is offset by lower revenues. Excluding that, the full year O&M change would be closer to $0.70, in line with our previous estimates. Our spending plans may adjust based on weather or other factors between now and the end of the year as we continue to use our flex spending to deliver steady, predictable results. You may recall that the remaining EWC ownership interest in 2 nonnuclear generation facilities is included in parent and other. Power prices have been lower than planned due to low natural gas prices, which is driving the expected margin from those operations lower. Taking all of this into consideration, we are tracking to the midpoint of our guidance range. The bottom line is that we have a solid plan with good visibility, and we will continue to execute on the deliverables to achieve steady, predictable growth. And now the Entergy team is available to answer questions.
Operator: [Operator Instructions] Our first question comes from the line of Shar Pourreza.
Constantine Lednev: It's actually Constantine here for Shar. So starting at the LPSC. With the LPSC turnover, are there any actionable changes in relationship or alignment that you've implemented? And do you feel the LPSC is in general, comfortable with the current regulatory construct? Or would you look to add anything beyond the new resiliency framework kind of going forward?
Roderick West: It's Rod. I think the best answer to your question is really the proof of concept, the decision that the LPSC has made to date. We've got the support, as you'll recall, after the election at the end of 2022, we got the support for our securitization. We got support for our Lake Charles Transmission system. We got support for our gas business rate decisions, all from the new commission. And so, I don't believe that we have a relationship issue. And in fact, we continue to work collaboratively with this new commission. We acknowledge that the addition of the newest commissioner, Davante Lewis, has created an opportunity for us to engage differently in educating a new commissioner on the historic relationships between the company and its stakeholders, not just the relationship between the commissioner and the company, but also the commissioner and the customer impacts. I know that you're reacting -- your question, react in some respects from some of the comments that have come out of individual commissioners and our reaction has been consistent. As long as we maintain our focus on ensuring positive customer outcomes, whether it's resiliency, whether it's renewables and clean energy and certainly affordability, we expect to be -- continue to be aligned with LPSC. And so we're moving forward, as Drew alluded to, with our regulatory calendars and to file our rate case and FRP as well as a strong renewables portfolio in addition to continuing to fuel the growth for the state, and we expect the commission to be supportive of the company's positions. We'll have a lot of debate along the way, but we'll continue to work constructively with them.
Drew Marsh: And Constantine, as part of your question, whether there's -- we think there's some continued support for formula rate plans within LPSC.
Constantine Lednev: Right. And I guess just anything that you feel like you need incremental to narrow some of those are kind of earned ROE gaps?
Roderick West: Well, from that vantage point, that's less -- less of a change. It's Entergy's interest in ensuring that the -- both -- whatever the regulatory mechanism is, we're using both the filing of the rate case as well as the planned FRP renewal to align those recovery mechanisms with our capital plan. We're not necessarily disclosing any specific tweak at this point to the FRP because we haven't even made the filing yet, but we expect the commission to be receptive to the case we're making for why an FRP is in the best interest of customers long term. We're filing the rate case because it was a condition of the settlement during the last FRP renewal. But we expect to continue to make the case to the commission for why the FRPs and certain adjustments to it would be beneficial to our stakeholders long term.
Constantine Lednev: Excellent. That's great color. And maybe shifting to the other kind of regulatory item, SIRI. Would the operational prudence complaint kind of reaching a point of settlement impasse in July and rehearing is still pending. Are you embedding any range of outcomes in the current financial plans just in terms of cash or financing drag? And maybe any guidance on kind of capping the potential liability in any form from the last complaint?
Kimberly Fontan: Sure. Thanks for the question. As it relates to SIRI in our financial plan, as you know, we recorded the reserve last year equal to the Mississippi settlement applied broadly across and that is reflected in our financial plan. And then we assumed that we are able to continue to work with the parties to resolve the litigation and that Grand Gulf is an important asset to our fleet and continues to operate and contribute to our results.
Drew Marsh: And I'll add that in terms of capping the exposure, the ALJ order from May regarding the UPSA is while it had -- as I mentioned, they had a $250 million of requested refunds, it did prune off quite a bit of additional liability. And so you do see that the amount of liability continues to come in as we move forward in the process. But we're still working through all that. And certainly, that's the amount that we believe we are at right now is what we have reflected on our books.
Operator: And our next question comes from the line of Jeremy Tonet.
Jeremy Tonet: Just want to stick with Louisiana here a bit. And I think you touched on it a little bit, but want to see if you might be able to expand more. And how do you think the Louisiana resiliency process could unfold once the staff engineered report is filed this month. Any sense from the commission on how the commission would like to handle it and if this could be kind of rolled together the resiliency, the RFP, the rate case all get tied together?
Roderick West: I totally understand your question, and I am -- my hesitation is only that I don't want to get ahead of the regulatory process. But I think your instincts are aligned. Once we get initial feedback from the staff on the filing, I think it puts us in a position to evaluate the timing around how we might pursue potential settlement discussions. Our objective, obviously, is to remove as much uncertainty as we can. And whenever we have the opportunity to avoid going through the expense of litigating issues where there's an opportunity to find time and ground. Part of our expectation going in is to first make the compliance filings as is expected by the commission. But the moment we do, we're trying to find a path to settlement, that isn't different. And I think your instincts about how we think about between now and the end of the year, assessing the likelihood of aligning around both the resiliency filing in concert with the discussions around the rate case FRP are spot on. That's our ultimate objective. But we have to make the filing and get the feedback. We have to make the filing on the rate case, but to your point, get the feedback from the LPSC staff on the resiliency filing and take it from there. But great point.
Jeremy Tonet: Got it. Got it. That makes sense. That's helpful. And sticking with Louisiana here, are stakeholder communications -- let us to hear about when those recent outages, there were some system glitches and communication to consumers was maybe not where it could be. Just wondering efforts on this side to, I guess, improve customer response and kind of address some of those local stakeholder concerns there?
Drew Marsh: Yes, Jeremy, this is Drew. We have folks all over that issue. We got over 100 people squared away in a large conference room in Texas working on this. But we feel like we have a good plan going forward from where we are. Certainly, the -- some of the performance of some of our systems after some upgrades that were intended to improve things last -- earlier or late in the spring didn't work out as intended. And so we worked through all that. We have a good plan going forward, and we expect to be back on track for any future storms.
Jeremy Tonet: Got it. That's helpful there. And then just a last one, if I could. I was wondering if you might be able to unpack a little bit more FFO to debt and kind of the trajectory over the balance of the year and hitting the goals that you want to hit there. Just any incremental color would be appreciated.
Kimberly Fontan: Sure, Jeremy. Really two key factors there. One is closing the Louisiana securitization, which we did in the first quarter. And as we go through the year, you'll see the debt associated with previously carrying that roll off. And the second is around the recovery of the higher deferred fuel balances that occurred last year with the higher gas prices and higher volumes we saw. You can see that the deferred fuel balances are down back to what I would consider more normal levels. And so, as those debt levels roll off, those two items will significantly help us and then just managing through our normal operations as we go through the end of the year puts us on target to be at or above that 14%.
Operator: Our next question comes from the line of David Arcaro.
David Arcaro: I think, Drew, you alluded to some initiatives that you're pursuing on the renewable development side of things to make the organization more competitive in some of these RFPs and to give yourself a better fighting chance to do some more self-build. I was just wondering if you could elaborate on what types of initiatives that you've pursued there to lower costs and build the pipeline, it sounded like?
Drew Marsh: Yes. Thanks, David. That's a good question. We have been working on building the capability in the development space as I mentioned. And we have been actually successful for the projects that we have been able to put forward in competing in our RFPs. So I think we're making good progress in terms of what does it take to be competitive on the solar RFP front. . The challenge we've had is we just haven't had a large pipeline of projects to support. So many of the projects that are even in the 30% that I mentioned earlier are build on transfer projects where a developer is constructing it and then moving it over to us at -- just before the completion of COD. What I'm referring to when I say we're making progress is we are finding some success in building up our portfolio. So we have somewhere in the neighborhood of about 4 gigawatts of development pipeline that we have put forward at this point. Now, I wouldn't say that's all ready to go and RFP. We're still building out some of those projects. But it's a much larger portfolio, and we are expecting to add maybe another half gigawatt to that by the end of the year. And then beyond that point, we'd expect it to continue to grow, and that should be very strong given where we have been competitively, that should be very strong in the RFPs going forward. So that's what we've been seeing, and that's what we're focused on.
Roderick West: And the only thing that I'll add to Drew's comments is that part of the sort of declogging if you will, that pipeline, we've been securing additional sites for renewables development, including our generation sites as well as the transmission interconnects that are all part of the development process, and that's adding to our improved competitiveness to Drew's point.
David Arcaro: Got it. That's helpful color. And then let's see -- curious similar topic, but in Texas, one of your peer utilities in the state has had challenges just getting a few renewables projects over the finish line there. I was just wondering how that's affecting your strategy in the State of Texas? How that might maybe impacting the outstanding RFPs that you've got?
Roderick West: Yes. And the short answer is that it's not impacting -- one, it's not a surprise to us because our point of view is consistent with -- and has been consistent with the PUCT. We understand the significance of reliability first. We do believe because of the interest of our customers that the renewable resources should be an important part of our supply portfolio. But we recognize that the commission's position has been rather consistent in Texas. It's notable that our position outside of ERCOT in our service territory and the success we've had in our CCNs has given -- in our view, given us a better vantage point to discuss the attributes of renewables with the commission perhaps in a different light because we're not having the same reliability issues in our service territory as they've expressed concerns about inside of -- inside of ERCOT. We are paying close attention, though, to -- particularly in Texas that if the commission were to have a change in policy around renewables, we see a tremendous opportunity in both hydrogen and CCS for other capital investment opportunities. But we think our position is strong. Our customers, particularly given all the growth we have in Texas are requesting the attributes of renewables and/or clean energy, and we're well positioned regardless of what direction the commission might take from a policy perspective in Texas to help them meet those needs.
Operator: And our next question comes from the line of Paul Zimbardo.
Paul Zimbardo: Drew, I think you mentioned that although some projects might be shifting around the timing a little bit. You're net seeing stronger industrial growth in that 2025 period, '25 plus. Just could you give a little more color on that and kind of what that means for the plan? And if this is something you could roll into the plan within the EEI refresh?
Drew Marsh: Yes. So it would be expected to be part of the EEI refresh, and we can give you some more details for sure. Then I would characterize the movement from '24 to '25 is the normal roll around of these large industrial projects that are billions of dollars and they're hard to get done. And so that's nothing that we haven't seen before. And so that is -- well, I wouldn't say that was expected, I would say we're not surprised. And that is -- so that part is not really new news. As we look forward beyond 2024, we are continuing to see a very robust industrial sales pipeline, lots of interest from a lot of different parties. We've -- particularly around the clean energy. I mentioned a particular CCUS project from ExxonMobil in my remarks, but there are other projects like that out there. There are projects like that related to hydrogen. So we are I think, well positioned to take advantage of all of that and we'll give you more details whenever we get to EEI.
Paul Zimbardo: Okay. Great. Understood. And then just pivoting to Texas following up on a couple of questions that were asked. Is there a good way to think about kind of what the earnings improvement opportunity is after the legislation, whether it's earned hourly basis points, additional capital spending opportunities. Just if there's some way to think about that, that would be helpful.
Kimberly Fontan: Sure, Paul. Are you referencing out of the Texas legislation, specifically. Was that your question?
Paul Zimbardo: Correct. Yes, the legislation.
Kimberly Fontan: Yes, there were a couple of -- a number of favorable things out of the legislation. Obviously, the resilience filing gives us a path to file our resilience plan and seek recovery of that in a way that helps provide our system higher resilience standard and support our customers. The DCRF changed from an annual filing to a biannual filing, that certainly gives us an opportunity to improve the -- or decrease the lag associated within investments. But from an overall perspective, we're still -- we haven't changed our outlook with regards to that, but certainly, a better way to recover investments. And then the third item is around compensation. And that one really for us on executive compensation is around recovery in a rate case. It's not really effective to us, but it certainly is helpful from a precedential perspective.
Paul Zimbardo: Okay. Is there a way to kind of quantify like ROE improvement or something from all of that?
Kimberly Fontan: Yes. I think it's too early to do that at this point. But certainly, they are positive tailwinds from our perspective that help us when we think about our overall outlook, but nothing changes in that regard.
Operator: All right. And that looks like right now, that is all of our questions. If there are no more questions, I will go ahead and turn it back over to Mr. Abler.
Bill Abler: Thanks, Jeremy, and thanks, everyone, for participating this morning. Our quarterly report on Form 10-Q is due to the SEC on August 9 and provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-Q filing that provide additional evidence of conditions that existed at the date of the balance sheet would be reflected in our financial statements in accordance with generally accepted accounting principles. Also as a reminder, we maintain a web page as part of Entergy's Investor Relations website called Regulatory and Other Information, which provides key updates of regulatory proceedings and important milestones on our strategic execution. While some of this information may be considered material information, you should not rely exclusively on this page for all relevant company information. And this concludes our call. Thank you very much.